Operator: Ladies and gentlemen, thank you for standing by and welcome to the Third Quarter 2020 Midland States Bancorp, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's call is being recorded. [Operator Instructions].  I would now like to hand the call over to Tony Rossi. Please go ahead.
Tony Rossi: Thank you, Michelle. Good morning, everyone, and thank you for joining us today for the Midland States Bancorp third quarter 2020 earnings call. Joining us from Midland’s management team are Jeff Ludwig, President and Chief Executive Officer; and Eric Lemke, Chief Financial Officer. We will be using a slide presentation as part of our discussion this morning. If you have not done so already, please visit the Webcast and Presentations page of Midland’s Investor Relations website to download a copy of the presentation. Before we begin, I would like to remind you that this conference call contains forward-looking statements with respect to the future performance and financial condition of Midland States Bancorp that involve risks and uncertainties including those related to the impact of the COVID-19 pandemic. Various factors could cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. These factors are discussed in the company’s SEC filings, which are available on the company’s website. The company disclaims any obligation to update any forward-looking statements made during the call. Additionally, management may refer to non-GAAP measures, which are intended to supplement, but not substitute for the most directly comparable GAAP measures. The press release available on the website contains the financial and other quantitative information to be discussed today as well as the reconciliation of the GAAP to non-GAAP measures. And with that, I would like to turn the call over to Jeff. Jeff?
Jeff Ludwig: Good morning, everyone. Welcome to the Midland States earnings call. I'm going to start on Slide 3 with the highlights of the third quarter. Our reported results reflected the one-time charges related to the branch and facilities optimization plan that we announced last month. And I will talk more about that plan a little later in the call. Excluding those charges, we delivered a strong performance this quarter, in light of the continuing challenges presented by the ongoing pandemic, with adjusted earnings of $12 million or $0.52 per diluted share. This performance was driven by solid balance sheet growth, significant contributions from many of our sources of non-interest income, and disciplined expense management. While overall economic activity remains muted due to the pandemic, we're effectively targeting those areas of the economy where we are seeing healthy loan demand.  As a result, we were able to generate annualized loan growth of 8.4% during the quarter. And we continue to see positive trends in gathering core deposits, which resulted in 6.8% annualized growth in our total deposits this quarter. Looking at asset quality, in general, we were pleased with the trends that we saw during the quarter and the improvement we saw in the health of most of our borrowers. This was most notably in the decline we saw in deferred loans, as the vast majority of these loans returned to regular payment schedules during the third quarter.  We did see an increase in non-performing assets, but this was largely driven by three commercial real estate relationships. These were three credits that were adversely graded prior to the pandemic. And with the downturn in the economy, their conditions deteriorated to an extent where they moved to non-accrual status. Outside of these loans, we didn't see other migration to non-performing during the third quarter. Given the uncertainty of the pace of the economic recovery, we continue to add to our loan loss reserves, resulting in our allowance for credit losses increasing to 1.07% of total loans.  As we have throughout the year, we continue to benefit from the diversity of our business model and our ability to generate significant contributions from a variety of areas. Wealth management continues to provide a stable source of reoccurring revenue. Our equipment finance group had another outstanding quarter, generating the second highest level of originations in its history, just behind their performance last quarter, and our residential mortgage group continues to effectively capitalize on the demand for refinancing and produced a strong quarter of loan originations and gain on sale income.  Aside from our financial performance, this was a very productive quarter for the company, as we made significant progress in our work to optimize our operating model and improve our ability to deliver consistent earnings growth in the future. This includes sale of our commercial FHA loan origination platform, and the announcement of a series of planned branch and corporate office reductions, which I will discuss in more detail on the next slide.  Moving to Slide 4, I'll start with a review of our sale of the commercial FHA loan origination platform to Dwight Capital. We were able to structure this transaction in a way that will eliminate the volatility that this business had on our overall financial performance while maintaining some of the positive benefits for Midland. With the disposition of the origination platform, we have reduced the expenses associated with this business by $8 million to $9 million per year. At the same time, we maintain the servicing portion of the business that provides a meaningful source of low cost servicing deposits and contributes approximately $300,000 in revenue for quarter.  As a nationwide mortgage banking firm and one of the largest originators of commercial FHA loans, Dwight Capital has significant funding needs and the relationship that we have formed as part of this transaction will provide Midland with the opportunity to provide warehouse lines of credit and bridge loans that will generate interest income for the company. And in fact, the warehouse line of credit extended to Dwight was one of the contributors to loan growth in the quarter.  So we will be able to offset some of the loss revenue from the origination platform and do it in a way that is more profitable for Midland. And with the size of our commercial FHA operation now much smaller, we will be able to focus our attention and resources on more profitable areas of the company. While there was no significant gain on the sale of this transaction, it did result in a $3 million tax charge recorded in the third quarter. Turning to the branch and facilities optimization plan that we announced, we felt that the pandemic presented an opportune time to make a comprehensive evaluation of all of our real estate holdings. Clearly the pandemic has accelerated the shift towards digital banking, and we determined that there were a number of smaller branches that it no longer made economic sense to continue operating. We identified 13 branches, which represented 20% of our network that could be consolidated. Four of these branches have been closed since March due to the pandemic. So customers have already made adjustments to use other branches. And most of the branches being consolidated are located within three miles of another Midland branch. So we expect a relatively smooth transition for our customers and only a modest amount of deposit attrition. We also identified five other branches that we will be renovating and upgrading to reduce their size and better utilize those facilities to serve retail and commercial customers. In addition to the branches, we are exiting three corporate locations, including facilities in St. Louis and Denver. We expect this plan to reduce operating expenses by approximately $6 million in 2021. Taken together with the sale of the commercial FHA loan origination platform, we believe the collective impact of these actions will help drive further improvement in our efficiency ratio and provide more operating leverage as we continue to grow our balance sheet in the future.  Moving to Slide 5, we'll provide an update on our PPP efforts and the impact that these loans had on various line items in the third quarter. We had approximately $278 million of PPP loans on our balance sheet at the end of the quarter. We have now started the process of helping our clients apply for forgiveness. Through October 9th, we have submitted approximately $72 million in loans for forgiveness and have received approval from the SBA on a little more than $3 million. While it is difficult to predict how quickly the SBA will start approving more loans, at this point we are expecting 25% to 30% of our PPP loans to receive forgiveness during the fourth quarter with the remainder occurring sometime in 2021.  Turning to Slide 6, we will provide an update on our loan deferrals. At September 30th, we had $279 million in loan deferrals which represented a decline of 69% from the end of the prior quarter. Our loan deferrals now represent just under 6% of our total loans. Approximately $238 million are full payment deferrals, with the remainder being interest-only deferrals. The largest contributor to our deferrals continue to be the hotel/motel sector, which we will speak in more detail in just a bit.  At this point, I'm going to turn the call over to Eric to provide some additional details around our third quarter performance. Eric?
Eric Lemke: Thanks, Jeff, and again, good morning, everyone. I'm starting on Slide 7, and we'll take a look at our loan portfolio. Our total loans increased a $102 million, or 2.1% from the end of the prior quarter. The increase was primarily driven by three areas. First, equipment finance, which continues to experience strong demand in both construction and manufacturing. Next, consumer loans increased coming through our partnership with GreenSky. And finally, we realized increases in warehouse lines of credit to commercial FHA originators, including the relationship with Dwight Capital that Jeff previously discussed. The growth in these areas has helped to offset a decline in our residential real estate portfolio, as we are not making an effort to retain loans that are looking to refinance to lower rates.  At the end of the quarter, we moved some of our GreenSky loans to held-for-sale as part of our strategies to manage the concentration levels of consumer loans in the portfolio. We sold this portfolio in October at par.  On Slide 8, we've provided an update on our equipment finance portfolio. As of September 30th, we had $75 million of deferrals, which represents a decline of 68% since the end of the last quarter. The majority of the deferrals represent borrowers in the transit and ground transportation industry, many of which are operators of tour buses, who have been temporarily impacted by the decline in travel.  On Slide 9, we've provided an overview of our hotel/motel portfolio. At September 30th, we had $106 million of loan deferrals in this portfolio, which is down 28% from the end of the prior quarter. Over the past couple of months, more of these borrowers have had increases in occupancy rates that allow them to return to at least a breakeven level. With these improving trends, many of these borrowers are now moving back towards interest-only payments as we continue to work with them to find the right solution that will enable them to manage through this downturn. As of September 30th, approximately 40% of the deferred loans at June 30th were either back to making their original contractual payments or making interest-only payments.  Looking at Slide 10, we’ve provided an update on the consumer loan portfolio that we have through our relationship with GreenSky. We had $8 million of deferred loans in this portfolio at September 30th, which represents a decline of 77% from the end of the prior quarter. This portfolio continues to perform well over the past four months and the delinquency rate has stayed in the 30 basis point to 40 basis point range. In addition to the strong performance, we have an escrow account that is available to cover any deficiency in Midland’s principal balances. The escrow account increased during the quarter to $30.6 million. Turning to Slide 11, we'll take a look at our deposits. Total deposits increased at $86 million, or 1.7% from the prior quarter. The growth was largely driven by increases in servicing deposits related to commercial FHA originators. Our growth in core deposits and the runoff of higher cost time deposits continues to result in a favorable mix shift and a reduction in our overall cost of deposits.  Looking now at Slide 12, we'll walk through the trends in our net interest income and margin. Our net interest income increased 2% from the prior quarter, primarily due to higher average loan balances. As we anticipated, we saw more stability in our net interest margin as it was essentially unchanged from the prior quarter with the decline in earning asset yields being offset by a reduction in our cost of deposits. The 11 basis point reduction in our cost of deposits was driven by our improved mix of deposits and overall reductions in deposit rates, particularly on rates paid on time deposits, as well as the run-off of certain money markets special rates during the quarter.  Looking ahead, we have $91 million in time deposits with a weighted average rate of 1.11%, scheduled to mature in the fourth quarter. And we also expect to redeploy some of our excess liquidity into higher yielding assets. The combination of these two factors should help us keep our net interest margin relatively stable.  Turning to Slide 13, we'll take a look at the trends in our wealth management business. Our total assets under administration increased $7 million from the end of the prior quarter, primarily due to improved market performance. Our total revenue continues to range in the mid $5 million range, with quarter-to-quarter variations primarily driven by seasonal impacts related to tax preparation.  On Slide 14, we'll take a look at non-interest income. We had a decrease of 2.5% this quarter, primarily due to lower commercial FHA revenue, as we only had the origination platform for two months in the third quarter. We also recorded a $1.4 million impairment of commercial mortgage servicing rights that reduced our non-interest income this quarter. Excluding the impairment, our non-interest income increased due to higher residential mortgage banking revenue, and higher community banking fees, as we've seen an increase in transaction volume and business activity as the economy continues to reopen in our markets.  Turning to Slide 15, we'll review our non-interest expense. Our total expenses were impacted by the one-time charges related to the branch and facilities optimization plan. Excluding these charges and a small loss on residential mortgage servicing rights held-for-sale, our non-interest expense was relatively unchanged from the prior quarter. This resulted in an efficiency ratio of 58.8% for the quarter.  Looking ahead, we expect to complete the branch and corporate facilities consolidation by the end of the year. With the cost savings realized from the consolidations as well as the sale of the commercial FHA origination platform, we believe we will start out 2021 with a quarterly operating expense run rate of approximately $39 million to $40 million.  Turning to Slide 16, we'll take a look at our asset quality trends. As Jeff mentioned, our non-performing loans increased primarily due to three commercial real estate relationships. We had $5.3 million of net charge-offs or 44 basis points of average loans in the quarter, which included charge-offs taken against those three commercial real estate loans. We recorded a provision for loan losses of $11 million which reflects a higher level of net charge-offs in the quarter, as well as a continued build in our level of reserves in light of the pandemic. At September 30th, approximately 96% of our allowance for credit losses or ACL was allocated to general reserves. We are seeing quite a bit of interest in the market for troubled debt and it's possible we might have some near term opportunities to dispose of some of our non-performing loans with no additional losses. On Slide 17, we'll show the components of the change in our ACL from the end of the prior quarter. Our ACL increased by $5.7 million and strengthened our reserve to 107 basis points of total loans from 97 basis points at the end of the prior quarter. With economic forecasts stabilizing, this component of reserve drove a much smaller increase than it did in the prior quarter. The biggest contributor to reserve build was changes in our portfolio, largely resulting from new loans, downgrades to risk ratings and adjustments for loans on deferral and other payment plans. On Slide 18, we show our ACL broken out by portfolio. The increase in reserves was spread across the portfolio with most areas seeing a bump up in coverage. In addition to the ACL of the total loans, we also track the coverage ratio when excluding loan portfolios with certain credit enhancements or government guarantees, including the PPP portfolio, our GreenSky loans and commercial FHA warehouse lines. When these loans are excluded, our ACL coverage increased to 1.36% compared to 1.21% at the end of the prior quarter. And with that, I'll turn the call back over to Jeff. Jeff.
Jeff Ludwig: Thanks, Eric. I’ll wrap up with a few comments on our near term outlook and priorities. First and foremost, we will continue to focus on maintaining strong capital and liquidity positions. We will also continue to capitalize on those areas where we see loan demand in the current environment. The equipment finance continues to have a strong pipeline, and we have additional opportunities to expand our commercial lending relationship with Dwight Capital. As a result, we believe that we'll see another quarter of growth in average loan balances although our end of period loan growth might be impacted by volatility that we see in warehouse line utilization and forgiveness of our PPP loan portfolio. We also continue to see strong demand in residential mortgage lending and should see another good quarter of revenue from this group.  From an operations perspective, we will be focused on implementing our branch network and corporate facilities reduction plan, ensuring that we provide a smooth transition for customers using new locations. As we approach the end of 2020, while this has been an extremely challenging year due to the pandemic, it's also been one that has been extremely productive for the company in terms of repositioning and refocusing our franchise on areas of the business that we believe present the best opportunities for future growth and deliver the most attractive returns. With the changes we have made and the improved operating leverage that has resulted, we feel that we have made important progress in positioning Midland to deliver more consistent financial performance and earnings growth as the economy strengthens. With that, we'll be happy to answer any questions you might have. Operator, please open the call.
Operator: [Operator Instruction]. Our first question comes from Michael Schiavone of KBW. Your line is open.
Michael Schiavone: So you guys had some nice loan growth in the quarter from three different verticals. Can you just provide some more color on the main drivers and then discuss the pipelines? And if the growth -- how stable is the growth going forward? 
Jeff Ludwig: Yes, we saw nice growth in consumer loans in our GreenSky relationship and that’s a relationship where we sort of set limits, if you will, and we increased the limits in the quarter. So I think there'll be a little bit -- it could be a little bit of growth in that area. But it's something that we sort of control. Eric talked about, we sold some portfolios in that group. So as the volume comes down a little heavier than we would like, we are able to partner with GreenSky and sell on some of those loans at par, which I think continues to support the fact that there's very limited credit loss in that portfolio.  I think there's opportunity on the commercial FHA warehouse lines, that those businesses are seeing some pretty good activity. So I would expect some nice draws in this quarter. And the equipment finance business continues to have a very strong pipeline. Fourth quarter is typically their strongest quarter. So we would continue to see similar activity in the fourth quarter as we did in the third quarter. 
Michael Schiavone: Great, thanks. And can you also shed some color on the new relationship with Dwight Capital and what type of revenue and deposit growth opportunities we might expect? 
Jeff Ludwig: I don't want to get real specific on customers on an earnings call, but I think what we said in the call is, we've got a warehouse line with them, and you'll start to see it. I mean we've got another customer as well in that space. So as we move forward sort of call that out as the balances move in and out. But those -- a couple of companies that we provide financing to, they need a lot of line availability in the hundreds and millions of dollar types range. So we have -- so that’s the warehouse lines. And then, just like we have with Love Funding, we bridged -- we did some commercial loan bridging from an origination of a loan, hold it on the balance sheet for a period of time, and then take it to the secondary market. So we'll also provide that type of financing when needed to that customer as well.  So, yes, I think there's a good opportunity to generate some revenue with that new customer and offset some of the revenue and earnings loss from Love Funding. 
Michael Schiavone: And then final one. Do you expect that capital can start to build from here, just given pre-tax pre-provision earnings outlook should improve after all the cost initiatives? And then also, what is your appetite for continued share repurchases versus other uses of capital at this point?
Jeff Ludwig: Yes. So we're trying to -- that's a balance for us. We're -- we want to build capital. But with our stock trading at $0.70 on the dollar, there's a small appetite there to repurchase some shares each quarter. So we're sort of balancing that as we move forward with the idea that we'd like to build -- need to build our tangible common equity ratios. Now our bank capital ratios are very strong, and we hold a lot of liquidity at our holding company. So from a overall capital position, we feel really good. But we do need to build some better ratios at the holding company level. And that improved earnings and improved pre-tax pre-provision is going to help with that.
Operator: [Operator Instructions] Our next question comes from Nathan Race of Piper Sandler. Your line is open.
Nathan Race : I was hoping to just follow-up on the operating expense discussion. Eric, appreciate your guidance for the first quarter. I guess I'm just curious if there's going to be some redundant costs, just given that you guys are kind of working through those branch optimizations here in 4Q, which may carry over into 1Q and just how we should kind of think about the core run rate has been through the second quarter of '21?
Jeff Ludwig: Do you want me to take that? Yes. So I think we've gotten some nice cost saves through both the branch rationalization and office rationalization and Love Funding. We had a really good expense year in terms of -- we had a nice medical cost year. Our incentive plans are half of what they would normally be in a normal year. And so we're sort of projecting those would sort of come back to '19 levels. And so there's some expense headwind when you compare to 2020. And maybe that's -- maybe what you're trying to get at is, thinking that the quarterly run rate might be less than a $39 million to $40 million run rate, but there are some expense headwinds that we're seeing as we head into 2021.
Nathan Race: And then just changing gears on credit. The provision has been pretty stable last few quarters. I guess, obviously, it was elevated this quarter with the commercial real estate credits and so forth. Those 3 isolated incidents, it seems like. How should we be thinking about additional reserve build just given the macro inputs that factor into your CECL model and just given how you guys are seeing deferrals trend at this point and just overall changes in criticized and classified loans as well, at least in the fourth quarter, I suppose?
Jeff Ludwig: Yes. I mean we continue to get a better look at deferrals. And as that starts to narrow, you get a better look at where you might have real problems, right? So I think what we said at the end of last quarter is that provisioning in the back part of the year would be similar to the first part of the year. And I think we probably continue to see it that way. So hopefully, that helps, yes.
Operator: Our next question comes from Cooper Brown of Stephens. Your line is open.
Cooper Brown : This is Cooper on for Terry. Just wanted to quickly touch on the equipment finance portfolio. I think you mentioned you're expecting some growth going forward like you saw this quarter. Specifically, it was from construction and manufacturing. Any additional industries that are worth noting that you might have seen the demand from?
Jeff Ludwig : I think those are the sectors. We think we have a well-diversified approach to the equipment finance business. We think we're in areas that have some growth. Obviously, the shuttle bus area is sort of shut down. But there's -- we're seeing good demand in construction and manufacturing. So it's in those sectors.
Cooper Brown : And then just quickly, do you -- can you provide the total size of the transit and ground passenger portfolio where I think deferrals are elevated within the -- within equipment finance?
Jeff Ludwig : Yes. We know the deferrals, I don't know what the total portfolio is, but it's -- the majority of that portfolio is in deferrals.
Cooper Brown: And then just finally, I think you guys touched on some opportunities to help the NIM out in this coming quarter. With the CD maturities, how are things looking for early '21? And are there any other deposit cost reduction opportunities over the next several quarters?
Jeff Ludwig : Yes. I mean we're through most of the deposit reductions. There are still CDs that we have that will continue to roll down even as we go into 2021, I think as much as $400 million that's going to mature next year or within the next 12 months, maybe that's what I was just looking at, that will roll down over time. So -- and that's really the only area at this point where there's opportunity. I mean maybe it's a few basis points, a couple of basis points here and there, but for the most part, in the last 2 quarters, we've gotten our deposit costs down to reflect really where the market is right now.
Operator: Our next question comes from David Konrad of D.A. Davidson. Your line is open.
David Konrad : I just had a quick follow-up question on the NIM. You just kind of filled in the questions on the CD side. But on the asset side, I thought loan yields held up remarkably well. I’m just curious on the equipment finance, kind of a front book, back book. What's the current yields you're booking now versus the portfolio yields? Is there a gap there? And maybe the same question for the securities portfolio for maybe if there's any pressure on that as we look into next year?
Jeff Ludwig : They're -- I'm pretty sure -- and you might need to look it up, but I'm pretty sure that our portfolio yield is a little higher than what we're putting new production on today. But new production in that business is north of 4, probably pushing 4.5, and we've been able to increase spreads over the last 3 to 4 months in that area as well. So although we're losing some yield as that portfolio pays down and we put new on, that spread, that difference isn't significant.
David Konrad : And then on the securities portfolio?
Jeff Ludwig : Yes. Right. I mean, it's rolling. I mean, Eric, you can talk about it. It's rolling. It's rolling down.
Eric Lemke : Yes. David, on the securities portfolio, that yield continues to drop. We've been looking at new purchase opportunities, and those are in the range of 100 basis points to 140 basis points depending on what type of security in the duration. Yes, we're continuing to expect that to roll down a little bit over the course of next few quarters.
David Konrad : But then I guess the flip side of that is if you can deploy some of the cash at probably 10 bps into the leasing portfolio that will help offset some of those pressures?
Eric Lemke : Correct.
Operator: I show no further questions. I'd like to turn the call back over to management for closing remarks.
Jeff Ludwig: Alright. Thanks, everybody for joining today, and we'll see everybody in 2021. Thanks.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.